Operator: Good morning, ladies and gentlemen, and welcome to the Rogers Sugar Inc., Fourth Quarter 2025 Results Conference Call. [Operator Instructions] Before we begin, please be reminded that today's call may include forward-looking statements regarding our future operations and expectations. Such statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. Please also note that we may refer to some non-IFRS measures in our call, please refer to the forward-looking disclaimers and non-IFRS measures, definitions included in our public filings with the Securities Commission for more information on these items. A replay of this call will be available later today. The replay numbers and passcodes have been provided in our press release, and our archived recording of this call will be available on our website. I'll now turn the call over to Mike Walton, President and CEO of Rogers Sugar.
Michael Walton: Thank you, operator, and good morning, everyone. Thank you all for joining us today to discuss our fourth quarter and full year 2025 results. I'll begin today's call with an overview of our performance for the quarter and the year, including key highlights from both our Sugar and Maple segments. I'll also provide an update on market conditions and how we are managing through ongoing volatility, particularly regarding trade and tariffs. Next, I'll discuss the progress we've made on our LEAP project which is central to our business strategy in Eastern Canada. And I'll touch on our continued commitment to operational excellence, disciplined capital allocation and our ESG priorities. After my remarks, I'll turn the call over to J.S. Couillard, our Chief Financial Officer, who will review our financial results in greater detail, walk through our segment performance and provide additional context of our outlook for 2026. We'll conclude with a summary and then open the line for questions from the analysts. As usual, we have an investor presentation accompanying this call. This presentation is available on the Investors section of our website if you want to follow along. This past year, we put our business and our Rogers refined strategy to the test. I'm pleased to say the results we are reporting today demonstrate clearly that we delivered great success. We faced challenges on multiple fronts. Global trade shifts, commodity price swings and regulatory uncertainty, but we stayed focused on what matters most, delivering for our customers, creating value for our shareholders while maintaining a safe work environment for our employees. By emphasizing operational excellence, supply chain agility and disciplined execution, we managed to steer through these challenges with minimal disruption. This marks the fourth consecutive year of increased profitability for our business, a direct result of the Rogers refined journey. We are proud to report record results again in 2025, with adjusted EBITDA surpassing $150 million for the first time in our history. Both our Sugar and Maple segments were key drivers of this progress, and I want to recognize the team's consistent execution year after year. Our adjusted net earnings for fiscal 2025 exceeded $72 million, which is 9% higher than last year and more than double what it was 5 years ago. We are delighted with where the business stands today when it comes to profitability as well as the strength of our financial position and cash flow generation. This is a strong foundation for the future of our business as we move forward on the delivery of our LEAP project. We believe the completion of the LEAP project will mark the beginning of the next step change in our future profitability. These results are even more meaningful considering the hurdles we overcame along the way. Our team navigated a port strike in Montreal, the threat of a nationwide rail strike, equipment breakdowns at our Montreal refinery and ongoing pressure and uncertainty from U.S. trade policy. Our ability to deliver these financial results and execution outcomes in the face of these kinds of headwinds speaks to the strength of our business fundamentals, the effectiveness of our strategy and the commitment of our people. Turning to our results. Both our Sugar and Maple segments continued to perform well throughout the fiscal 2025. We saw healthy demand in our core markets with our teams responding quickly to changing customer needs and capitalizing on growth opportunities. Volume in our Sugar segment, although lower than anticipated increased by nearly 4% in 2025 compared to last year. The sugar market continues to reflect the impact of inflation on purchasing patterns with some softness in demand as food manufacturers adjust to higher prices for ingredients across the board. Despite these pressures, underlying demand for refined sugar remains stable, and we continue to prioritize in our operations to support our customers through these market cycles. Our Maple business continued its upward trajectory with a 14% increase in sales volume as we expanded our presence with both existing and new customers. Around the world, consumers are discovering this unique goodness of this all-natural sweetener. The quality and availability of the crop were important factors in our ability to expand our market presence and deliver consistent results in Maple. Looking forward, we remain focused on supporting producers and maintain reliable access to supply as global demand for maple syrup continues to grow. Our strong cash generation continues to support both strategic investments and consistent shareholder returns. We also made meaningful progress on our ESG commitments further embedding sustainability and community engagement into our business. In summary, we are entering 2026 with a solid foundation, a clear and proven growth strategy and confidence in our ability to deliver value even as the external environment continues to evolve. Our ability to deliver these results is a testament to the strength of our Rogers refined operating model. We have continued to modernize and invest in our operations, manage cost effectively and prioritize customer needs particularly as we work through market cycles and trade-related uncertainties. Rogers refined speaks to the way we operate every day. Our teams know what's expected and they deliver. In this culture of accountability and innovation that gives us the confidence to navigate uncertainty and capitalize on new opportunities. Now turning to our Eastern sugar expansion project. A key highlight this year has been the progress of our LEAP project. This expansion is central to our long-term growth strategy, positioning us to meet rising demand for refined sugar across Canada. Construction activities in Montreal are advancing. There are a lot of new contractors on site working on the refurbishment of the building and the installation of new refining equipment given our temporary outlook for softer market demand in the near term and our desire to proceed as prudently and safely as possible, we made the decision to extend our expected in-service date for LEAP to the first half of calendar 2027. This decision affords us some additional time to execute on this complex undertaking while better aligning our in-service date with market demand trends. Executing this major construction project while maintaining production at near full capacity requires careful coordination to ensure the safety of employees, contractors and the facility itself. We are executing LEAP with a strong focus on safety. Safety must be our top priority and the rigor and learnings from LEAP will be applied across the organization to further strengthen safe, reliable operations at every site. Our estimate of the cost to complete LEAP Project is unchanged at $280 million to $300 million. We remain confident in the long-term value this expansion will deliver for food manufacturers in Central Canada and beyond. And I'd highlight that we continue to see food manufacturers advance their plans to add capacity in Canada with a notable ribbon cutting on the new chocolate factory in Ontario in mid-November. As a reminder, Central Canada is where we see the bulk of the demand growth. So by expanding capacity in the region, we can serve that demand locally and reduce shipping costs that come from having to bring sugar east from our Vancouver and Taber sites. And as I said earlier, we are in the best financial condition in our history. Our financial strength enables us to fulfill our ambition for growth and modernization through the LEAP project and through future initiatives. Now I'll turn the call over to J.S. for a discussion on our financials.
Jean-Sebastien Couillard: Well, thank you, Mike, and good morning, everyone. I will now begin my financial overview of the fourth quarter and the 2025 fiscal year. While volume and revenues are always important, our primary focus continues to be on profitability, especially adjusted EBITDA and free cash flow, which we believe are the most important measures of the performance of our business. For the fourth quarter, adjusted EBITDA grew to $39.5 million, up from $38.3 million last year. For the full year, we delivered more than $150 million in adjusted EBITDA an increase of nearly 6% over 2024 and the highest performance in our history. Free cash flow also improved significantly in 2025 at $90 million compared to $73 million in 2024 after excluding a $14 million timing difference on income tax payments. This represents an improvement of 23%. This free cash flow gives us the flexibility to invest in our business, fund our key growth projects and return value to shareholders, all while maintaining a healthy balance sheet. Our consolidated revenues for the fourth quarter came in at $323 million, down about 3% from last year. The main reason for that decline was lower average price for Raw #11 sugar and lower sales volumes in the Sugar segment. As a reminder, raw sugar prices for us are mostly passed to customers through our hedging process and as a result, have no material impact on profitability. The decline in sugar revenues was partially offset by higher revenues in our Maple segment. On a full year basis, revenues were up by nearly 7% to $1.3 billion which really speaks to the resilience of our business and the ability of our teams to deliver growth even in a year with plenty of moving parts. Despite the fluctuation in the top line, our team delivered where it mattered most, profitability and cash flow. This underscores the importance of our focus on consistent profitable and sustainable growth. Now let's have a look at the individual business segments. Starting with sugar. The story this quarter is all about adaptability and margin discipline. Sugar sales volume for the fourth quarter at 196,000 metric tons was lower than expected, down by 4% from last year. The reduction was associated with nonrecurring production issues from one of our industrial customers and lower liquid volume from the loss of 2 customers in Western Canada during the past year. Despite the lower sales volume, our focus on maintaining strong profitability allowed us to exceed our adjusted EBITDA target at $35.1 million, up 3% from last year. For the full year, adjusted EBITDA for the Sugar segment reached $129 million, a 4% increase from 2024 and a record for our business. Over the last year, we have seen a lower growth rate in sales volume and related margin for industrial customers. We see this as cyclical and are attributing to softer market conditions to grower food inflation from higher costs of other ingredients impacting overall demand, such as cocoa. That being said, our team has been able to pivot and take advantage of business opportunities across markets to protect margins. We are still confident that the sugar economics of the North American market are aligned with our business strategy. On the cost side, we have seen our production costs returning to normal in the second half of 2025 after some nonrecurring maintenance challenges in Montreal in the first half of the year. We've also seen an increase in our distribution costs, especially in the first half of the year as we made adjustments within our supply chain to meet the needs of our customers. Finally, the increase in our administration costs for the year was mainly due to severance costs incurred in the third quarter and higher share-based compensation expense related to a higher share price in the later part of the year. Our adjusted gross margin per metric ton was $237 in the fourth quarter, higher than last year by $20 for the full year. Adjusted gross margin per metric ton at $224 was slightly higher than last year's amount of $222. On the Maple side, we are seeing the benefit from improved global market demand, supported by a strong harvest and proactive supply management. Maple revenues in the fourth quarter were $64 million, up by 6% year-over-year from higher volumes sold. In the full year of 2025, total Maple revenues were $263 million, a 13% increase as sales volume reached a record of 53.4 million pounds. The higher sales volume supported our expected profitability growth. For the fourth quarter, adjusted EBITDA for the Maple segment was $4.4 million, up by 8% from last year. For the full year, the Maple segment delivered a record adjusted EBITDA of $21.3 million, $3.3 million higher than last year. Over the last 3 years, profitability of the Maple segment has improved by more than 60%. The gross margin of our Maple segment, aligned with expectations for the full year at 10.4%. However, we saw a lower margin during the second half of 2025 due to an unfavorable mix of products and customers. We see this situation as temporary and going forward, we are anticipating overall gross margin to be slightly above our target of 10%. For the full year, Lantic Maple contributed 20% of our consolidated revenues and 14% of our consolidated adjusted EBITDA. The combination of volume growth and disciplined operational management meant we capture more margin for every sales, underscoring Maple's growing contribution to our overall profitability. We believe our Maple business is well positioned to take advantage of the favorable global market dynamics going forward. I want to pause here and tell you that we are really pleased with the results of both business segments and their contribution to our record profitability in 2025. We are also pleased with our overall bottom line results. Adjusted net earnings for the year came in at nearly $73 million, up by 9% from last year. On a per share basis, adjusted net earnings per share was $0.57 for the full year, slightly higher than last year, even after the 20% increase in share outstanding from the LEAP-related equity issue done in March 2024. On the investment front, capital expenditures totaled $95 million for the year, with the majority about $75 million, allocating to advancing the LEAP project. We remain disciplined in our approach to capital allocation balancing the need to fund strategic growth initiatives with the importance of maintaining a strong balance sheet. Our funding plan for the LEAP project remains robust as we are drawing on a well-balanced mix of sources including internally generated cash flow, the equity proceeds from last year's share issuance, our revolving credit facility and government-backed loans from Investissement Quebec. We continue to keep a close watch on financial market conditions as we evaluate our future funding requirements. Thanks to our strong balance sheet and solid cash flow, we are well positioned to move quickly and strategically when opportunities align with our business objectives. We are proud to deliver steady, reliable returns even as we invest for future growth. Our strong financial performance allowed us to continue rewarding our shareholders. We maintain our quarterly dividend at $0.09 per share, returning a total of $46 million to shareholders through the year. For 2025, we provided a dividend yield of about 6% to our shareholders. The strong financial results also caused a favorable decline in our payout ratio to approximately 64% compared to 67% in 2024 and 85% in 2023, allowing us to use the excess cash to maintain our strong balance sheet. With that, I'll turn the call back over to Mike to provide a summary and outlook for 2026.
Michael Walton: Thank you, J.S. As we look ahead to 2026, the outlook is still challenging with changing market conditions. That being said, I believe we are well positioned to navigate whatever comes our way by closely monitoring conditions and adjusting quickly as needed. A core part of our execution is actively managing our sales to ensure we're always positioned for the most economically advantageous outcomes. This means being disciplined about where and how we allocate volume, focusing on the right opportunities and making sure we're not just chasing top line growth but driving consistent and sustainable profitability. Although tariffs and trade policy have so far only had a limited effect on our business and that of our customers, we remain prepared to act swiftly should conditions shift. Our strategy is straightforward, maintain close relationships with our customers, exercise disciplined cost management and invest with a long-term perspective to ensure we remain resilient and competitive. Our recent quarterly results marked a significant improvement in our profitability and operational execution compared to previous years, a level we believe is durable and repeatable. Our focus for 2026 is to continue delivering steady financial results. Let me start with the Sugar segment. We expect demand and pricing to remain strong in the coming year. Our forecast for 2026 sales volume is between 750,000 and 770,000 metric tons, a slight decrease from last year. This forecast reflects some ongoing uncertainty in export markets and softer demand from a handful of industrial customers dealing with higher costs for other ingredients. Domestic sales continue to be robust, and we'll prioritize serving those customers while remaining alert to select export opportunities. At Taber, our beet harvest this season was in line with expectations, thanks to stable acreage and normal growing conditions. We're currently processing the crop and anticipate wrapping up by the end of February. Production and maintenance costs will edge slightly higher this year, driven by market factors and a commitment to maintaining reliable operations. In Maple, we anticipate another year of healthy growth, building on recent momentum. We're projecting volume to increase by up to 3% in 2026, supported by sustained demand from current customers and new business in international markets. Our outlook assumes favorable crop yields and continued access to supply. Both segments reflect our best view of current market trends, but we recognize that market dynamics can change rapidly and we're ready to adjust as needed. On the investment front, we plan to allocate about $27 million across our core business this year, excluding LEAP-related spending. LEAP will continue to be a major initiative in 2026 as we press forward with the construction and installation of new refining and logistics capacity. Balancing this project with day-to-day operations is challenging, but essential to ensuring uninterrupted service for our customers. As J.S. mentioned, our capital spending is well aligned with our funding plan. To sum up, we've delivered yet another successful year in keeping with our focus on consistent, profitable, sustainable growth. As I have stated previously, we are a very different company now with a 4-year track record to prove it. Our priorities are clear: stay close to our customers, uphold our commitment to safety and continuous improvement, manage costs to remain competitive and advance the LEAP project to support future growth. Underpinning all of this is our solid balance sheet and prudent financial approach, which provides us the stability and flexibility that will help us meet the needs of our customers and deliver value to shareholders over the long term. In closing, I want to express my gratitude to our teams across all our locations. Your commitment to customer service, hard work and dedication to a safe work environment are paramount to our success. And finally, I would like to thank our customers, business partners for their ongoing confidence in us. I will now ask the operator to open the line for questions from the analysts.
Operator: [Operator Instructions] Your first question comes from Michael Van Aelst with TD Cowen.
Michael Van Aelst: And good results today. But I'd like to talk to you a little bit about your outlook to start with. You mentioned refined sugar demand was stable in Canada and increasing globally. But you're forecasting lower volumes. Is that an operational concern? Or is this like why would your -- why do you expect your volumes to be down the next year if demand is stable?
Michael Walton: Mike. Good to hear from you. Yes, what we're seeing in the lower demand outlook is export sales. Those are always lower margin opportunistic sales. And with some of the trade and tariff dynamics, and as everybody knows the tariff on Brazilian sugar is about 1 example, that has stemmed our appetite for export sales until things change.
Michael Van Aelst: Okay. So when you look at your -- the LEAP project and you see the increased capacity coming on, obviously, this is allowing you to delay or slow down the progress of this, but this is the third time that you've delayed it, I think, in the last year or so for a total of I, think it's 15 months now, if my math is right. So what -- at the start of the project, you said that you had customers lined up for the increased capacity. What are these customers doing -- going to do to fill that their facilities during -- in the interim while you complete the expansion of the facility and do you still expect the demand to be there once this facility ramps?
Michael Walton: Yes. All great questions, Michael. And so this is only our second delay of the project. And we look at the economic conditions in the market and the supply and demand of our customers, both internationally and domestically, and we make decisions on the fly as we get smarter with the needs. And what we decided to do is we could have kept -- one of the options certainly was to keep the original time line. But that just would add more cost because it's more over time, more labor. And given the opportunity to just stick on pace with the cost side and just extended time we've decided to take that option, given the softness and some softness in the domestic market short term. That, we believe, will recover. I mean it's -- you're seeing it in every sector in Canada. It doesn't matter if you're making cars or aluminum widgets or sugar-containing products. So investments have slowed, but they're still going to be there in the long term. The growth will return. We're quite confident in that. We've met with major customers around the globe in the last few weeks, and their commitment long term is still in place to invest in this market. We did see 1 ribbon cutting a couple of weeks ago as an example of that. And as you know, there's been other public announcements of additional capacity coming on over the next couple of years. Those are a little slower than what we saw a couple of years ago as when those would start up, but they're still committed to coming to the Canadian market. So it gives us our confidence long term. And as far as needing to supply the market for -- because there is still -- as we do know, we're still running near capacity city in the East. That's where the growth is in the Canadian market is in the East. We still have untapped capacity in our Western operations so we can pull sugar into the East, if needed.
Michael Van Aelst: Okay. All right. And then with lower volumes in -- on the sugar side this year, I'm assuming mix is going to improve if your exports are down and your industrial is down.
Michael Walton: That's correct.
Michael Van Aelst: Okay. So overall, for sugar, did I hear you expect stable in fiscal '26 from a profit standpoint?
Jean-Sebastien Couillard: Yes, Mike, it's J.S. here. So we're expecting our results on the Sugar segment to be very stable right now. So the business, the volume that we are not going to have this year is exports volume and allow us to focus more on the domestic market and the margin is usually higher, obviously, on the domestic market.
Michael Van Aelst: Okay. And then on the Maple side, yes, a much stronger volumes than we expected. And I think that you guys were guiding to for the fourth quarter. Was all of that export business? And is that why the unit revenue was down year-over-year?
Michael Walton: Yes. No. As you know, Michael, in the Maple business, we export over 50 countries in the world. So we're -- it's an export business for us. We have a strong domestic presence, but it's largely an export business for us. And conversely, it's why we diversified our EBITDA strategy when we bought into the Maple business, conversely, to sugar and other commodities and cocoa and whatnot, shrinkflation and consumer inflation has not impacted Maple globally. And it's still growing more than what we would expect in more than any other food commodity. And so we're benefiting from that growth as the consumers turn to that luxury item and that natural sweetener of choice in some countries, and we're benefiting on that ride. And we -- as you know, over the past few years, we've right-sized that business. We've invested in that business. We've got a lot of automation, and we're well positioned to manage that growth as it continues to come to us.
Michael Van Aelst: Okay. So can you just explain help us understand the gross margin -- the weaker gross margin in the second half of this year and what's going to get back over 10% going forward?
Jean-Sebastien Couillard: Mike, it's J.S. here. So what we've experienced in the second half of the year is what we would call it an unfavorable product and customer mix. So some of these -- the incremental volume we have to use some syrup that was a little bit more expensive to do the type of product that we were doing hence the reduction in margin. And so we've actually aligned our purchase for next year to be able to have to meet the need of the customer. So I'll give you an example. If you have what I would call it industrial grade products and you have to use higher-quality syrup to fulfill the orders because you have more orders than you were anticipating. You're still making money, but we're not making as much as we would anticipate. So we've actually aligned our supply chain to be able to have more of those type of products to supply our customers for next year. That's why we're confident that -- and we've seen it over in the first period of the year, and we have a forecast for next year that we are going back above the 10% and I would also say that in some cases, in some of those products, offering demand in the maple syrup is actually the demand is strong, and we've been able to pass some of those price increase to customers.
Michael Van Aelst: Okay. So bottom line is the grade of -- you've aligned your supply, the grade of your supply to the customer demand.
Jean-Sebastien Couillard: Yes, that's a good way to put it. Exactly Mike.
Michael Walton: The spike in demand created some timing for us. It's a good kind of problem.
Operator: Your next question comes from John Zamparo with Scotiabank.
John Zamparo: I wanted to follow up on LEAP and the move to mid-2027, I'm not quite clear, I hope you can add a bit more color here. What developed over the last few months to make you want to move the expected completion date? Was it something related to the construction. We know it's a very complex project. Or was it related to demand and what you're seeing from customers?
Michael Walton: Yes First of all -- John, yes, it is a complex project. And the extra engineering work that's going on, on site and then aligning with the construction work following engineering is critical for the safety of the site. It's an old building, 140 years old and there's a lot of work and a lot of tie-ins to be done, and we're doing this while we have a plant running right beside it with our employees working alongside the contractors. So in the interest of safety of the employees, safety of the site and the consistency of our production and no interruptions in melt in which anecdotally, we've had less than 9 hours of interruption in the plant over almost 2 years. So good coordination, good outcome and it's the right focus to deliver a safe, reliable project at the end and a little short-term softness in volume tariff related and export related as it gives us a window to use the extra time.
John Zamparo: Okay. That's helpful. And then maybe we can move to the sugar volumes outlook, specifically on cost inflation and cocoa prices, I wonder how you think about these because they've come down pretty sharply, but it's still extremely elevated versus years ago. So I wonder what you're seeing from your customers who have exposure to that commodity. In particular, those who have manufacturing facilities in Canada, but ultimately export to the U.S.
Michael Walton: Yes. Thanks, John. Great observation. That's one benefit of me being around here 45 years. This is not my first cycle like this. I've lived through these spikes in commodities and supply and demand. We're seeing it's not just inflation, it's shrinkflation, too. So if you look at units of -- let's just use an example of a chocolate bar of any type. They've reduced them in size so it reduces pounds, but not units and sales. And so it takes consumers a little while to come back and manufacturers time to come back and increase the size of those bars, we've all seen it over our lifetimes. But a lot of things are -- when we go through these cycles, a lot of things aligned that support the change, and as you referred, cocoa prices are down substantially. Sugar prices, #11 sugar prices, which if you manufacture in Canada, you get a benefit from are at a 5-year low. We just come off of a 5-year low in the last 2 months, and that was the benefit of foreign exchange. It just makes calendar the right place if you're going to invest and continue to participate in the SCP market for on a North American basis. So those things kind of help turn that curve. It will take a little longer because just like anybody else, our customers' customers have bought in inventory and that higher-priced inventory based on higher commodity costs has to get flushed through the system. And it will take some time. But in the past, it's always come back. So I have confidence it will as well.
John Zamparo: Understood. A couple more. I wanted to clarify some comments on Eastern Canada from the MD&A. I think you'd said expected growth in F '26 is coming from the East, but it also referenced or the outlook also referenced lower-than-expected demand from that region. I wonder if you could add a bit more color there.
Jean-Sebastien Couillard: John, it's J.S.. What we have seen is that the rates of growth that we have noticed over the last few years, we're not expecting the same growth rate that we've had so we're expecting a more stable growth rate may be coming back to what used to be in the 1% to 2% rate on an annual basis versus what we have seen over the last 2 years, which was a significant growth in this market. It's still the strongest part of the market. Obviously, in Canada, most of the food transformation business is in the Montreal down to Southwestern Ontario Corridor. So we're still well positioned for that. But we're not expecting the growth to be as strong as it was in the last 2 years.
John Zamparo: Right. Okay. Understood. And then lastly, on Maple, I guess it's a follow-up to the prior question. volumes and demand continue to thrive on this product, and it seems like there's just complete inelasticity from consumers. I wonder what you attribute that to internally. Is there something structural? Is it just customer preference for this product? I wonder how you think about that.
Michael Walton: It's a great product. People love it. The more people try it, the more they stick to it. It's just simply a great product. And we've done a lot of work. We've got probably one of the best teams in the industry that's connected globally to the customers and consumers and trends. And we're probably at the front of that line, capitalizing on those growth opportunities and trend commitments that we're seeing across the sector. So it's execution and it's opportunity. It's always a success, right?
Operator: Your next question comes from Nevan Yochim with BMO Capital Markets.
Nevan Yochim: I just wanted to start on sugar volumes in Q4, the decline you referenced from a large industrial customer in Montreal. Are you able to quantify that impact it had on Q4? And then is that fully isolated to fiscal 2025?
Michael Walton: Yes. Thank you, Nevan. Yes, it was 1 customer largely in Eastern Canada that had an operational issue and it impacted us by less than 4,000 tons or about 4,000 tons. It was isolated. It was -- and it has already returned to normal production.
Nevan Yochim: Okay. Great. And then just to put a bit of a finer point on the volume outlook for 2026. Can you confirm, is the full decline expected to come from exports to the U.S. And then can you just frame the economics of exporting to the U.S. today based on current tariff rates, which I believe were recently reduced for imports coming from Brazil?
Michael Walton: Yes. Nevan, so first point clarification, the sugar was not included in the reduction of tariffs to the United States from Brazil. So there's still a full tariff rate on Brazilian sugar, which, of course, Montreal uses raw sugar from Brazil so it excludes us on participating in exports to the U.S. out of Montreal. Most of the reduction you've seen is in the export segment. And of course, the tariffs change, and we have unutilized capacity that we have in place somewhere else. We'll jump right back in there. We've always done that over the years. And then if you look at some of the other softness of some liquid volume predominantly in Western Canada with a couple of shifts in customers that one that has left the market altogether and one's gone back to another sweetener.
Nevan Yochim: Okay. Got it. And just lastly for me on sugar margins into 2026. Can you frame about how you're thinking about the year as we see the lower margin exports decline, could that potentially lead to a year-over-year increase in the gross margin per metric ton.
Jean-Sebastien Couillard: That's a good question. I think on a unit basis, we can -- it might lead to a slight increase. However, the market is fairly stable right now on the domestic side. And so we also have to consider the impact on our cost. So overall, we think we're going to have a flat to slight increase on sugar margin next year.
Operator: Your next question comes from Zachary Evershed with National Bank.
Zachary Evershed: So you guys mentioned the start-up was delayed about 6 months to keep over time and cost down and CapEx guidance was maintained. Do you think there's going to be any effect of the increased complexity and the delayed start-up reflected in your OpEx costs on the income statement instead?
Michael Walton: No, not at all.
Zachary Evershed: And then in Maple, your EBITDA margins are getting closer and closer to your gross margins. Can you walk us through those efficiency gains and whether there's anything more to get incrementally there?
Jean-Sebastien Couillard: Well, the margin in the second half of the year, we've seen a slight decrease. We mentioned a little bit earlier, Zach. And the reason being having to use some higher grade syrup to fulfill some more of industrials, I think that will -- it actually has resorted itself in 2026. And from our point of view right now, our maple from an operational standpoint and cost point of view, we're fairly much optimal. And so we're expecting this trend to continue.
Zachary Evershed: Then last one for me. What types of incremental financing are top of your list right now? And what are you watching in capital markets that could prompt you to pull the trigger?
Michael Walton: Well, it's a good question. A few things we're watching. Obviously, we had about $150 million of converts that we paid back last year. And then we are -- what we're looking at right now is we refinanced about $115 million of that. So we are looking at different options going forward. So we're going to pace that with the pace of spending of our LEAP Project. So if we go out, it's not too much to finance our LEAP Project, but more about replacing some of the convertible debentures that we had paid back in 2025. Bear in mind that because we did the equity issue so we had a bit more cash than we had initially anticipated, that's why we have not gone out in the market. So we'll look at rates -- we'll look at market conditions. I think what you've seen in our package is that we are going to file our prospectus very soon. So our prospectus will allow us to quickly access the market if we see an opportunity.
Operator: There are no further questions at this time. I will now turn the call over to Mike Walton for closing remarks.
Michael Walton: Thank you, everybody, for your interest in Rogers Sugar, and we look forward to seeing you at the next quarter. Hope you have a great safe holiday season.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.